Operator: Good day, everyone, and welcome to the Electrovaya Third Quarter 2025 Financial Results. [Operator Instructions] It is now my pleasure to turn the floor over to your host, John Gibson, Chief Financial Officer at Electrovaya. Sir, the floor is yours.
Francis John Gibson: Thank you. Good afternoon, everyone, and thank you for joining today's call to discuss Electrovaya's Q3 2025 financial results. Today's call is being hosted by Dr. Raj Das Gupta, CEO of Electrovaya, and myself, John Gibson, CFO. Today, Electrovaya issued a press release concerning its business highlights and financial results for the 3- and 9-month period ending June 30, 2025. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements and management discussion and analysis, you can access those documents on the SEDAR+ website at www.sedarplus.ca or on the SEC EDGAR website at sec.gov/edgar. As with previous calls, our comments today are subject to the normal provisions relating to forward-looking information. We will provide information relating to our current views regarding market trends, including their size and potential for growth, and our competitive position within our target markets. Although we believe that the expectations reflected in such forward-looking statements are reasonable, they do obviously involve risks and uncertainties, and actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements may be found in the company's press release announcing the Q3 fiscal 2025 results and the most recent annual information form and management discussion and analysis under Risks and Uncertainties as well as in other public disclosure documents filed with the Canadian and American security regulatory authorities. Also, please note that all numbers discussed on this call are in U.S. dollars, unless otherwise noted. And now I'd like to turn the call over to Raj.
Rajshekar Das Gupta: Thank you, John, and good evening, everyone. It is a pleasure to address you today as we discuss our Q3 fiscal year 2025 quarter. The quarter marked another period of strong momentum for Electrovaya as we continue to deliver significant growth in revenue and profitability while advancing our industry-leading Infinity technology into an expanded range of applications. We achieved a second consecutive quarterly profit with revenue growing 67% year-over-year to over $17 million. Importantly, our adjusted EBITDA was strong at nearly $3 million and about 17% of revenue. We believe we can continue this growth trajectory into the current quarter and beyond as we leverage continuing demand growth from our core material handling sector and as we start seeing the contribution from other developing verticals. Operationally, we continue to see strong momentum from our OEM partners and leading end customers in the material handling sector. During the quarter, we secured more than $21 million worth of orders, bringing total orders to over $65 million in the 9 months ending June 30, 2025. This steady order flow is backed by a much larger pipeline of projects, primarily with a number of major Fortune 500 and Fortune 100 end customers, along with our OEM partners. To address increasing demand, we initiated a second shift at our Mississauga facilities in June and began some assembly operations at our Jamestown facility in May. These adjustments are expected to help us meet growing demand for our existing core battery systems, but also support the launch of new products for other sectors. Electrovaya's advanced lithium-ion battery technology is fundamental to our success. It offers industry-leading cycle life, outstanding safety, and competitive energy and power density. This provides a significant advantage for mission-critical applications or those demanding superior safety and performance. We believe this is gaining increasing recognition in the industry, particularly as sectors valuing such performance, including e-commerce, robotics, and defense, are poised for rapid growth. We are particularly focused on the robotics sector. Robots and autonomous vehicles are designed for continuous nonstop operation independent of human operators, which is critical to their overall value. Given that these devices often operate indoors and in large numbers, safety and reliability are also paramount. This sector is experiencing rapid growth, fueled by advancements in AI technologies and the expansion of e-commerce, and is poised for further acceleration. We believe our technology is well-suited to this market, and we have the right product available at the right time. Currently, we have established partnerships with 3 impressive OEM partners in this space, and we are actively pursuing additional business development opportunities with a number of exciting prospects in our pipeline. We recently announced our entry into the airport ground equipment sector, a development that has been in progress for some time. This sector leverages system designs similar to those we've successfully implemented in the material handling space. The timing is also ideal as major airlines are actively seeking to reduce their carbon footprint in their ground operations. Our Infinity lithium-ion battery technology offers the essential reliability and safety required by this mission-critical industry. We're also excited to showcase several of our products at the upcoming GSE Expo this September. Some of the largest battery systems that we are developing are for Class 8 trucks. This is a sector that has struggled to be electrified, in part, in my opinion, due to battery technology not being ready for the task. Cycle counts are high, along with energy, power, and safety requirements. These are factors that make it difficult, particularly for standard automotive battery technologies, to be used. We partnered recently with Janus Electric, based in Australia, to develop some custom high-voltage battery systems for the U.S. and Australian markets, with our first delivery scheduled in 2026. Our partnership with Sumitomo Corporation has been responsible for multiple high-profile OEM wins in the construction and earthmoving equipment space. We are making shipments to our OEMs in Japan this quarter. These are customized battery modules that are being manufactured on an updated automated line in Mississauga. With our proven performance and technological edge, coupled with our investments in domestic manufacturing, we have identified the defense sector as a high-value growth opportunity. We are actively expanding our collaboration with a global defense contractor, showcasing our superior safety and cycle life in a mission-critical vehicle application. Our strategy includes a more aggressive pursuit of this sector, bolstered by our upcoming U.S.-based manufacturing capabilities. We are also working towards launching some specialized energy storage products later this calendar year that have been designed to leverage our technological strengths and specifically target a growing demand for domestically produced high-performance and, importantly, safe energy storage products. Investments in data centers, AI infrastructure, and overall greater need for improved energy infrastructure are driving this demand, and we believe we can provide our solutions while maintaining the strong margins, which we have demonstrated in other verticals. Finally, we are also well underway to launching multiple recurring revenue stream products in fiscal year 2026. This includes energy services and software-based solutions. Given this, we anticipate separately itemizing these on our financial statements in fiscal year 2026. I'll now hand it over to John to review the financial results in more detail.
Francis John Gibson: Thanks, Raj. This quarter proved to be another record-breaking quarter for the company. Q3 represents significant progress in both our financial results and operational capabilities. We are steadily strengthening the financial foundation required to drive scalable and sustainable growth. Revenue for the quarter ended June 30, 2025, was $17.1 million compared to $10.3 million in the prior year, with revenue for the 9 months ended June 30, 2025, at $43.3 million compared to $33.1 million in the prior year. Year-over-year growth of 67% for the quarter and 31% year-to-date. We have now surpassed our breakeven point of $50 million, having recorded almost $55 million over the past 12 months. We continue to prove our ability to increase our run rate effectively and efficiently. As Raj mentioned, we've already received over $65 million in purchase orders in the 9 months ending June 30. With steady order intake and our enhanced working capital capabilities, we will continue to focus on efficient execution of orders. Gross margin for the quarter was 30.8%, a slight decrease from the prior year margin, driven primarily by product mix and some increase in cost of sales. 9-month gross margins were 30.8% for 2025 and 32.4% for 2024. Similar to the prior quarter, the company had some marginal increased costs on certain components due to tariffs. We continue to increase our production efficiency and optimization to limit or remove the impact of these increased costs. With increased production volumes, we are able to push for better pricing with our key suppliers. Management believes the company is well-positioned to maintain these strong margins throughout Q4 and into the next fiscal year. Operating profit increased significantly for both the quarter and year-to-date. Operating profit for Q3 2025 was $2 million compared to an operating loss of $0.6 million for Q3 2024. And for the 9 months ended June, it was $33.2 million compared to just $19,000 in the prior year. Our adjusted EBITDA was $2.9 million for the quarter compared to $0.6 million in the prior year, with the 9-month figure being $5.4 million for 2025 and $2.6 million for the prior year. EBITDA as a percentage of revenue was 17% for the quarter and 12.6% for the 9 months ended June. Q3 also represented our ninth consecutive quarter of positive adjusted EBITDA. The company generated a net profit of $0.9 million for Q3 2025, a significant increase from the net loss of $0.3 million in the prior year. Furthermore, the company generated a net profit for the 9 months ending June of $1.3 million compared to a net loss of $1.4 million in the prior year. We have now had 2 consecutive quarters with a net profit, which management believes is a true inflection point for the company and reaffirms our message that we can achieve continued profitability. Further revenue growth, which we have a line of sight of for the rest of the fiscal year, will further contribute to increased overall profitability. The company generated positive cash flow provided by operating activities of $5.4 million and negative changes in working capital of $13.2 million. The movement in net changes in working capital is purely an invoice timing issue at the end of the quarter. To date, we have received a significant portion of this accounts receivable balance. The company ended Q3 '25 with positive net working capital of $31.8 million compared to negative net working capital of $0.4 million for the prior year, a significant increase, and this demonstrates the continued improved financial and operational performance of the company. And management is committed to continuing this positive trend. As of June 30, 2025, total debt was $18.8 million compared to $18.4 million in the prior year. In addition to cash on hand, the company had availability within its bank facility of over $6 million. Subsequent to the end of the quarter, the execution of warrants provided a cash inflow of $3.2 million for the company. Management continues to manage cash conservatively, and through the recent financings, we have seen a reduction in the cash interest costs for both quarters and the 9 months ended June. We believe we have adequate liquidity to support our anticipated growth for the remainder of the fiscal year and into 2026. With respect to the Jamestown financing, we expect to receive the first draw from the EXIM facility in the coming days. In order to take full advantage of the payment terms of EXIM, we have funded the early, smaller payments ourselves, waiting until the first round of large payments to make the first draw. Under the credit agreement, we are able to recover all payments made relating to the project, so any payments made to suppliers will come back to us. Furthermore, with the interest-only payment portion starting 6 months after the first draw, by doing this, we have pushed the start of interest payments into 2026 and the start of principal payments into 2027. That concludes the financial overview. I'll now turn the call over to Raj for concluding remarks.
Rajshekar Das Gupta: Thank you, John. Our foremost priority and most significant historical investment is the expansion of our manufacturing capabilities in Jamestown, New York. We are actively collaborating with our strategic equipment suppliers and contractors alongside developing our internal expertise and team to guarantee the project's seamless execution. We are confident that cell production in Jamestown will commence by mid-next year as originally scheduled. Importantly, the recent One Big Beautiful Bill Act continued the 45X production tax credits, which our Jamestown output will be eligible for. This will help provide additional capital, which we did not take into account in the EXIM financing. Concurrently, we have been establishing robust supply chains, particularly those based in North America, to cater to the needs of more sensitive customers, especially within the defense sector. Years ago, we proactively avoided Chinese supply chains for this initiative, encompassing both materials and equipment. This foresight will safeguard us from future disruptions and align us with the requirements of many of our strategic customers. Electrovaya's technology continues to lead the industry in safety and cycle life, in particular. We are continuously enhancing this technology as evidenced by our recent UL2580 certifications for higher capacity battery systems, which demonstrate incremental increases in energy density. Furthermore, we are actively developing a next-generation ceramic separator for our Infinity battery products. This innovation will offer several improvements, including enhanced thermal stability, reduced costs, and decreased thickness. Our strategy involves increasing the domestic content of this crucial technology and ultimately scaling its production at our own facilities. We're collaborating with a domestic supplier of high-purity alumina, which possesses exceptional properties to achieve this goal. The Electrovaya Labs team continues its primary mission in its solid-state battery development. Encouraged by positive small cell results, we are investing in dry room facilities and additional equipment at our Mississauga labs. This expansion will enable the production of larger cells for sampling to potential customers. In closing, this quarter marked a significant milestone in our journey to becoming a leader in lithium-ion batteries for heavy-duty and mission-critical applications. Our technology stands out, clearly demonstrating the essential attributes of cycle life and safety, which are increasingly vital in a rapidly growing automated industry. Coupled with our consistently strong financial results, we are clearly progressing towards our goals. That concludes our remarks this evening. John and I would now be pleased to hold a question-and-answer session.
Operator: [Operator Instructions] Your first question is coming from Daniel Magder from Raymond James.
Daniel Magder: Congrats on the quarter. Just obviously, a lot of success in the quarter, expanding into new verticals with a number of announcements. How do you think about the change or a potential change in the revenue makeup in '26 as a result? Or are these longer-term?
Rajshekar Das Gupta: '26 is going to represent -- these other verticals are going to be a significant contributor to revenue in fiscal '26. It's hard to predict exactly what percentage of revenue they're going to make. But for instance, on the robotic vertical, significant shipments will start to at least one of our OEM customers starting next quarter. And that space, the battery systems are generally quite similar to each other. So we can launch products more quickly. And so I think that sector is going to grow nicely. Airport ground equipment is another one, which I think can generate revenue rather quickly as well, given that the product is basically ready to go. We're going to be shipping the first units within the next week or 2. So that product line is good to go as well. With the construction OEMs in Japan, we've already been shipping, and this is at the preproduction level. And so, fiscal 2026, that should scale a little bit. So when you take all these into account, they start adding up.
Daniel Magder: Yes. Yes. And I guess, in terms of customer types with these new verticals, obviously, on the material handling side, discussions with Fortune 100 companies. Is it a similar makeup of the type of new customers that you're having these discussions with?
Rajshekar Das Gupta: For the most part, they're the OEMs themselves, and that's what we're focusing on. And for instance, robotics is the OEMs that we're talking to mostly, and the same thing with the other sectors, especially, of course, defense would be like that. So it's a little bit different than the material handling space where we have direct relations with some of those major end customers. The exception to that is on the energy storage side of things, where some of those same customers are the ones who have expressed interest in our energy storage products. So we will sell those same end customers we're selling batteries for their material handling vehicles. We may sell those same customers energy storage solutions.
Operator: Your next question is coming from Eric Stine from Craig-Hallum.
Eric Stine: So maybe just sticking with energy storage. I noticed that you did not call that out just in your written release, but clearly a huge opportunity, especially since it is with many of your material handling customers. I mean, the fact that you did not include it, should we view that one as a little bit further out? Maybe remind us of the timing of the contribution there. And I mean, I would think it's safe to say that that vertical might be the largest of any of your emerging verticals.
Rajshekar Das Gupta: Yes. We'll be making a separate launch of that product fairly soon. So that's why we haven't put it as a separate item in our press release. But it's a product line that our engineering team has been working on for some time. We want to make sure the specifications everything is perfect before we launch it.
Eric Stine: I would think that your customers have given you some indications about demand levels or deployments at some of the same locations where you are deploying your material handling solutions.
Rajshekar Das Gupta: They most certainly have. So we will make deployments in calendar year 2026, and we will make shipments next year. So it's a sector which is obviously very, very large, growing very quickly. We want to maintain our value there. We're providing a battery solution, which is much safer longer longer-lasting than what you can find from competitors. And thus, we want to be able to secure strong margins, which is in that space; it's a more commoditized space in general. So we're going to be an outlier there. But we already have strong relationships with some of those very large corporations, which are investing significant sums in this area.
Eric Stine: Maybe just on the capacity addition in Mississauga. And then you combine that with Jamestown, maybe with those 2 steps, where your capacity stands? And then just thinking longer term, I mean, is the eventual goal to just move everything on the manufacturing side to Jamestown, Mississauga, more of an engineering facility? Or how should we think about that?
Rajshekar Das Gupta: Yes. So first of all, we've added a second shift here in Mississauga, and we've started some growing operations in Jamestown. We're taking in a fair bit more orders than we're shipping, and so we need to catch up on that. So we're scaling things. That second shift is likely going to be a permanent piece, and Jamestown is only going to continue to increase its contribution. So that's what we're doing on the capacity front in the very near term. In terms of the longer-term vision that we have, Mississauga clearly has engineering development as its main priority, but we will leverage its system manufacturing as well because it's well optimized to do that. If you think about these verticals, which we're launching products into, a lot of them are new types of battery systems, and it makes sense to utilize Jamestown more for those verticals as opposed to the Mississauga site, which is well optimized to provide battery systems for the material handling space.
Eric Stine: Last one for me. Just curious, I mean, obviously, great order momentum here throughout the fiscal year. I mean, I would assume that that has continued in Q4.
Rajshekar Das Gupta: It certainly has. So we haven't seen any -- order intakes continue to be rapid, especially with some of our key end customers, which are generally very large corporations. And so they've continued to provide us with good order flow. And we're also seeing them provide us some giving us more guidance on what's going to happen over the next year to 24 months. So we are very, very confident in this space as it stands. And so it gives us confidence with these investments we're making in Jamestown, et cetera.
Operator: Your next question is coming from Craig Irwin from ROTH Capital Partners.
Craig Irwin: So, Raj, a lot of investors are asking us about your participation in the robotics market. And we've been pointing them to your very early work with the e-commerce guys, I guess, one in particular that's a little bit of a pioneer here. Can you maybe help us understand the breadth of applications that you're looking at in robotics? There is some enthusiasm out there for certain applications that could really explode and see tremendous adoption over the next couple of years. For example, the Tesla humanoid, the supply chain is talking about 30 million units, which would be incredible. Can you maybe give us color on whether or not you're touching some of these applications that could see some very rapid growth over the next 5 to 10 years? And the customers you're working with, I know many of them are iterative, and they work from lower risk to higher risk opportunities. Can you maybe talk about how you would see this evolve?
Rajshekar Das Gupta: Yes. It's very dynamic, Craig. But what's common to all these robots is that they need to wirelessly charge. They need batteries that can do many charges in a day because they operate to make a robot worthwhile; it has to do a lot of work. So they will have to do multiple cycles in a day, and they need that battery to be very safe, so they don't damage this very expensive piece of equipment. And so we meet those requirements. And we're already in a number of -- again, the sector is growing very quickly. It's still in the early stages. Most of the robots that we're in right now, I would say, are moving goods inside warehouses and factory floors, but we're seeing some that are in surveillance, one of which is a defense-type application. We don't really have a clear idea of what it is. And the battery is the same whether it goes into one or the other. So humanoid-type robots in the future would definitely not rule it out. The typical battery that's going into these types of applications is roughly about 2 to 5 kilowatt hours. That's what we're expecting. So for us, they're relatively small, but the number of them could be very large, and that's what we're anticipating. So we're standardizing the product to some degree. And it's getting a good reception in the market. We have a pipeline of partners we're talking to who are looking to test this technology we have, and we'll see how that goes. But we're very bullish on the space in general. It's a very good fit for us, both from a technological standpoint. And on the product side, we're good to go. And so the initial partners we have, there are 2 in the United States, one of them is in Japan, and then there are a few guys that could come soon.
Craig Irwin: The other market, the other end of the spectrum, Eric asked the question about energy storage, but rail, electric locomotives take huge batteries if they're going to be battery-powered for a couple of miles. And you did have some projects that were in development. Can you maybe update us on where those stand? I know there's often shifting customer priorities, but do you still expect to maybe make some deliveries there? And is there an opportunity for customer projects to commercialize?
Rajshekar Das Gupta: Yes. Rail is one that's very sensitive to government incentives. And so we did have a partner there, but I think they had some government money, which disappeared. So I see it as an interesting opportunity. It works well with our battery technology at the end of the day. A hybridized rail is probably an area that is more realistic and one where we're in discussions with one partner there, but we'll see how it goes. I think I'm more bullish. It's the same battery, end of the day, whether it goes into a rail vehicle or a different type of vehicle; the Class 8 trucks are probably a better place.
Craig Irwin: That's a beautiful segue to my last question. Over the last many years, you've been generally cautious about electric vehicles, electric trucks, and conservative in the amount of R&D dollars that you specifically applied to developing products for this market. This call, you're really calling that out just now and multiple times in the prepared remarks and other answers to other questions. What do you think about the approach of the OEMs that are now doing electric trucks? It seems that if they're coming to Electrovaya, they're willing to pay for performance and that they understand they need that performance. Has something fundamentally changed in this market that makes it more attractive for you, while I guess, equity investors often look at this as maybe out of focus right now, given the challenges of many of the companies that raised money as SPAC mergers.
Rajshekar Das Gupta: Yes. We're cautiously optimistic about the space. I think the reason we got pulled in is precisely because of the failures of some of our competitors in the space. So what we're finding is that those who have applied standard automotive batteries, scaled them up to much larger capacities, and put them in these types of vehicles have run into problems, whether they be safety or performance. And that's really put a black mark on electrified Class 8 vehicles. What we provide is a battery, which can be safe in larger sizes, which can handle very high duty cycles, and that's what this market needs. So I believe that there will be a market for electrified trucks, Class 8 trucks. Most certainly, it's not going to be the majority of the market. But I believe our technology, again, is the right fit for the space. We'll see how it goes. We're not putting all our eggs in this basket for certain. The development we've done for this space is really leveraging the development we've already been doing for a defense customer, which is also for large vehicles. And so that's what we're utilizing for the space.
Craig Irwin: Well, congratulations on another positive, profitable quarter. So great progress.
Operator: Your next question is coming from Amit Dayal from H.C. Wainwright.
Amit Dayal: Congrats on another solid quarter. With regards to the guidance, Raj, you're maintaining it at $60 million in revenues for this fiscal year. That's implying roughly a flat quarter in Q4. But the color on the call seems to be more optimistic. Just wondering, is there a reason for you to be a little conservative?
Rajshekar Das Gupta: We're going to beat that guidance. We thought about revising it and didn't necessarily see the great urgency to do so. But Q4 fiscal year '25 will be a growth quarter over fiscal year Q3.
Amit Dayal: And then just on the same lines, now that you are potentially going to see contributions from many new verticals next year. And as long as this material handling business stays at this year's level and even grows a little bit from here, I mean, what kind of growth should we be looking for? You have the balance sheet now, and you have the production facility. You can really step on the gas. So I'm just trying to see if there is any color you can provide for how growth next year could look for you guys?
Rajshekar Das Gupta: We're still evaluating that, Amit. It's changing, so it can change on a dime. What we're anticipating is that our core sector, the material handling space, we'll see year-over-year growth. It's the other sectors where that growth rate is still unclear because they're just a little less mature for us. So I think by the end of the year, by the end of the calendar year, we'll have better clarity on how that's shaping up. But what we can tell you is we're going to continue growing. We're going to continue outperforming what we're doing continuously.
Amit Dayal: On recurring revenues, Raj, is this potentially beginning in the next fiscal year or a little bit later? Just trying to understand how these products are going to be sold? Are these attached to the battery systems you're selling to customers or separately? Just trying to get a sense of what the profile of this recurring revenue segment will look like.
Rajshekar Das Gupta: Okay. So on recurring revenue, there are really 2 main parts to it that we're targeting. One is services associated with energy management. So we already have data analytics, which we have some Fortune 100 companies buying from us, that service. And that's a relatively inexpensive service we provide. What we're launching in the fall will be an AI-driven demand response system, which will allow end customers to save on electricity without seeing any reduction in performance. And that's a service we anticipate being able to generate meaningful, continuous, recurring revenue. So that's one product which we'll be launching. The other, more complicated one, probably is our energy services product, which is one we're working towards and one that will be directed more to some of these end customers, who want to treat the battery as an energy service. So they would they would prefer to pay, instead of looking at a CapEx, they would look to utilize our technology as an OpEx. And given the strength of our technology, that's something that in the long run is very beneficial because when Electrovaya sells a battery for a warehouse application, for instance, the battery performance is so good. It takes a long time to get repeat business. And that's something we're looking to leverage here with this.
Amit Dayal: So, for this battery as a Service model, will those batteries be on your balance sheet then for the duration of those contracts?
Rajshekar Das Gupta: Potentially, that's something that still might be a special purpose vehicle with a third-party investor where we take part in the benefit, but not necessarily have it all on our shoulders there. It's something that's still being looked at. So it hasn't been finalized. What I can tell you is that the profitability of this is much, much greater.
Operator: Your next question is coming from Jeffrey Campbell from Seaport Research.
Jeffrey Leon Campbell: First of all, congratulations on a very strong quarter, and we appreciate the encouraging guidance for the fourth quarter as well. I wanted to start with the Janus partnership. This appears to be a swappable battery approach, if I read it correctly, and that was first pioneered in Israel years ago, and then it seems to be really gaining steam in China. So if I'm correct, do you see this swappable approach working in Australia? And you also mentioned in your remarks that there's an eye to the U.S. market with this as well. I was wondering, would that be a similar effort, maybe geared towards long-haul trucking? Or could this be something that would take advantage of distribution with any of your material handling relationship customers in the U.S?
Rajshekar Das Gupta: So Janus has this approach of swapping the batteries, and this enables them to serve their customer' needs where they're going long distances, and they need the power immediately. And I think if you want to do that, you need a battery which can handle very, very high utilization rates, which ours is a perfect fit. You also need batteries, which are, of course, safer because you're doing a lot of movement. And so that's what we're supporting them with. I don't really have a strong opinion on whether swapping is good. I don't really have a strong opinion on the application.
Jeffrey Leon Campbell: Well, then just let me ask again, then. What did you mean when you said that you're working with them, but you're also in Australia and the U.S. market?
Rajshekar Das Gupta: So they already have a large number of customers in Australia, and they have customers in California. So when we deploy batteries, it will be for both markets.
Jeffrey Leon Campbell: Can you provide an update on your leasing business? That seems to be the one that was most poised to participate in the long-term trend of lead-acid battery replacement with Infinity batteries, the last time we discussed.
Rajshekar Das Gupta: Yes, that's leasing from our OEM partner. So they're taking advantage of the performance of our batteries by providing a higher residual value on the leasing. So if you're a Fortune 100 company, you're typically not leasing these batteries. But for mid-sized to large companies, they're often looking to lease. And because the residual value of our batteries is higher, that makes the leasing through the OEMs quite attractive. And so that leasing program with Toyota was launched really start of this year. It's been very successful, and it's driving most of our orders for that brand.
Jeffrey Leon Campbell: And one of the reasons I wanted to ask about that is because it sounded like in your last remarks to Amit that you're looking toward some kind of similar leasing program of your own. And I'm wondering if the leasing that you were talking about there at the end, would that be towards new customers with some sort of a new model? Or would that even start to revert to OEMs, established OEMs that you have in material handling?
Rajshekar Das Gupta: I don't think we would launch our own leasing program because that's something financial institutions like the Toyota one is Toyota Finance's managing that. So leasing per se, no, Energy as a Service, yes, it's a little bit more nuanced, and that's something we're more interested in. If a customer wants to lease, though, we do have good partnerships, like we have one with Sumitomo Corporation, where they're actively providing some customers with a lease proposal.
Operator: [Operator Instructions] Your next question is coming from Orin Hirschman from AIGH.
Orin Zvi Hirschman: Congratulations again on the progress. Just a couple of random questions. Just in terms of the, I know you've been asked this question a few different times, but I'll put a different spin on it. In terms of selling into the energy storage market in terms of actual sales, you mentioned a customer who's already material handling. Have you actually sold anything to them? Or do you have a first site? That's part A. And part B would be, it's going to be a premium product like you said. Does that mean it would not reside, let's say, in a lithium battery farm for an energy application, but it would be more likely to be where there are more humans, closer to a warehouse or something like that?
Rajshekar Das Gupta: Yes. Orin, you're correct on both. So now, in terms of the project specifically, we have 3 customers who want to have this product. They are waiting on us to provide them with final specifications, pricing, and delivery schedules before they move forward or not. So the Jonus is on us. That will come with our launch, which will be fairly soon. Again, we just want to make sure it's all buttoned up before it gets launched. On the sites they're considering, yes, it's not these very large utility-scale type storage sites that we're targeting. It would be specifically, for instance, warehouses where these warehouses typically have diesel gen sets outside. A lot of them have solar on their roofs. So that would be one type of application. Another would be data centers. A lot of these companies are building data centers. And data centers are very expensive. You don't want to have any fire hazards nearby. So that's what we're seeing the interest around that. Maybe a third area would be somewhat related to more government-based procurements, too.
Orin Zvi Hirschman: The data center would be a target, or one of those first 3, is the data center related?
Rajshekar Das Gupta: It may be. One of the 3 companies has a lot of data centers.
Orin Zvi Hirschman: Meaning they realize the fire aspect of it in terms of the safety, that's why you can command a premium?
Rajshekar Das Gupta: We think so.
Orin Zvi Hirschman: Skipping back to the ceramic separator technology, is that to get a better gross margin? Is it going to improve the actual performance? What's the purpose of doing all of that?
Rajshekar Das Gupta: We have the technology. When you have good technology, you always want to make it better. And so we also want to improve the margins of it. Right now, the cost of what we produce leverages a lot of contract manufacturing is very expensive. By this focus here, we will improve the margins.
Orin Zvi Hirschman: Is it something that's notable where it might make a 1% or 2% type of difference on your COGS, or it's not that big?
Rajshekar Das Gupta: It will make a difference. A lot of it is strategic, right? If we have it in-house, if we're producing the alumina either with a partner or ourselves, that's very valuable. So one way of looking at it is we're more than just a battery company. We become an advanced materials company in a way. And this is something that is, in the long run, very, very valuable.
Orin Zvi Hirschman: And just skipping to the robotics that people have asked about, is that a business that's even $1 million or $2 million today? And do you think it could be bigger than that next year? Do you have any line of sight?
Rajshekar Das Gupta: Yes, it's about like $1 million to $2 million today, and we expect it to grow quickly.
Orin Zvi Hirschman: Do you actually have a line of sight into actual robotic ramps? And again, I assume these are not humanoids, right? We're talking about advanced warehouse-type robots.
Rajshekar Das Gupta: Yes, these are advanced warehouse-type robots. A few of them have given us projections for next year. So we can see a ramp.
Orin Zvi Hirschman: And is this coming from -- are they captives, meaning is a big company that they own the warehouses, or are they in the warehouses that's actually also building the robots? Or is the robot builder totally separate from the ultimate end customer?
Rajshekar Das Gupta: We're hoping we can get that one you're describing. But no, these are OEM-built vehicles, which are provided to other customers.
Orin Zvi Hirschman: Are they big OEMs? Some of them are start-ups?
Rajshekar Das Gupta: No, all 3 of them are big OEMs. Yes.
Orin Zvi Hirschman: And last question, I can't resist on the solid state. You've got a lot on your plate right now. Any comments on the solid-state R&D?
Rajshekar Das Gupta: So the team at our Labs division has a product, which is, I would say, ready to go. What's stopping us from getting it tested is that they're producing it in suboptimal conditions. And given that the performance looks good under those conditions, we decided let's invest some money, improve those facilities and equipment, and get some samples sent to potential customers.
Orin Zvi Hirschman: I think it's been a while since you updated on charge and discharges and those metrics. Going back a year or 2 ago, it wasn't anywhere close to being ready commercially, although it was still a large number of charge-discharge discharge. Have you made significant progress on that?
Rajshekar Das Gupta: So if you look at which applications are most interested in this type of battery, the #1 would be aerospace and drones. And the cycle count isn't really what they're looking for. They're looking for, okay, they want to have a couple of hundred cycles. We can do that. They want rate capability. They want performance, et cetera. So I think we have it. I think the results we're getting point in the direction where we will meet those attributes, but we do have this suboptimal lab condition, which needs to be upgraded to get those better results.
Orin Zvi Hirschman: If I can just follow up and then on this question, I was going to ask you about the drone business in general. Obviously, time and flight, and power consumption are critical for drones, and it's a big problem. They got to come back, refuel, people are trying to do refueling and air, so to speak, recharging in air. So, do you have any drone business today? And is this solid-state battery really the key to the drone business?
Rajshekar Das Gupta: If you look at some of our competitors, there are companies that have shown success with silicon anode-type cells. And we think ours could be the arrival at that. It won't be a silicon anode; it would be a lithium metal anode. So, probably even higher energy densities. So that's what we're targeting. We want to get it right before we want to get the samples to the potential customers, before we push it.
Orin Zvi Hirschman: But there is no drone business today that would be your entry into that business.
Rajshekar Das Gupta: Correct. Yes. Right now, other than robotics, which you can say is a land-based drone. But yes, in terms of the flying drones, no, we have no business there right now.
Operator: That completes our Q&A session. Everyone, this concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.